Operator: Ladies and gentlemen, welcome to the Zurich Q3 2024 Results Conference Call. I am George, the Chorus Call operator. [Operation Instructions] The conference is being recorded. [Operation Instructions] The conference must not be recorded for publication or broadcast. At this time, it's my pleasure to hand over to Mr. Jon Hocking, Head of Investor Relations and Rating Agency Management. Please go ahead.
Jonathan Hocking: Thank you, George, and good afternoon, everybody, and welcome to Zurich Insurance Group's 9 Month 2024 Results Q&A Call. On the call today is our Group CEO, Mario Greco; and our Group CFO, Claudia Cordioli. Before I hand over to Claudia for some introductory remarks, just a reminder for Q&A, if you could keep it to 2 questions, that would be much appreciated. Claudia.
Claudia Cordioli: Thank you, Jon. Hello, everyone. Thank you for joining us. Good afternoon. Before we answer your questions, I would like to provide you with a few opening remarks. As you will have seen from this morning's press release, we have continued to see strong volumes growth across all of our businesses, starting with P&C. Gross written premiums in P&C grew by 4% on a reported basis, supported by 5% rate increases. Growth in retail and SMEs was especially strong with GWP ahead by 10% with 5% rate increases in the period. Retail P&C margins have improved year-on-year despite significant weather events, especially in EMEA. We expect to further increase retail motor rates in both Germany and Switzerland over the important 1st of January renewal period. Volumes in commercial have been impacted by the commodity price-driven decline in the top line of our crop business. Excluding crop, commercial insurance gross written premiums were ahead by 5%. And I was pleased to see North America report 4% gross written premium growth for the discrete third quarter. Commercial continues to see positive rate momentum. In North America, although property rates have moderated somewhat during the first 9 months, we continue to see strong rate increases in auto and liability as rates continue to respond to loss cost trends. It is also good to see an increase in the retention rate for commercial insurance despite our continued focus on underwriting profitability. We have quantified the impact of nat cat on our combined ratio for the first 9 months at 3.4%, which is modestly higher than the 3.1% for the prior year period. We believe that this is a testament to the good work by our underwriting teams to reduce and manage our net exposure to cat volatility. Our initial estimate of the pretax cost of Hurricane Helene is $160 million. Hurricane Milton, which is a fourth quarter event, is expected to cost less than $200 million pretax. Our Life business continues to deliver strong growth with new business premiums up by 6% on a like-for-like basis at stable margins. This was driven by robust sales of unit-linked through our bank partners and higher sales of protection in the U.K. and Japan. Short-term protection sales, which is mainly driven by Latin America, grew by 12% on a like-for-like basis. We also saw 10% like-for-like growth in fee revenues from investment contracts, supported by higher average assets under management. The transformation at Farmers continues at pace with Farmers Management fee revenues up by 6% on the prior 9-month period, supported by 5% growth in gross earned premium at exchanges. The underwriting performance at the exchanges was again excellent with the 9 months combined ratio at 93.5%, it is also pleasing to see the exchange surplus ratio at 37.7%, towards the upper end of the 34% to 38% target range. This ratio does not reflect the issue of USD 300 million of surplus notes shortly after the end of the quarter, which will add around 1.6 points to the ratio on a pro forma basis. Finally, Zurich's SST position remains very strong. The 9-month SST ratio of 224% has declined modestly since June 30, mainly reflecting lower interest rates, which were partially offset by strong capital generation net of dividend accrual. Market movements since the quarter end will have reversed some of the interest rate impact. We're looking forward to sharing with you our ambitions for our new 3-year cycle for 2025 to 2027 in London in a couple of weeks' time. With that, we'd be happy to take your questions.
Operator: [Operator Instructions] Our first question comes from Michael Huttner at Berenberg. Please go ahead.
Michael Huttner: I'm really sorry, I have 2 questions. So one is relating to what you said, but one isn't. But relating to what you said the farmers -- so I guess, if I add 1.6% and 37.7%, I get to 39.3%, which is way above. And obviously, my guess is you knew the number when you issued the surplus notes. You're preparing for Farmers reducing its quota share and by how much? And would you, within that, reduce your own share of the quota share? Or would you stay with the same kind of pie slice size of a smaller pie? That's my first question. And then the second one is a very cheeky one. What can you say about the rumor, which was last night on Bloomberg? I know you might say, no comments, but maybe you can help us there. And I suppose what I'm really asking is, this would be a momentous event and strategically would probably be extremely positive. But if you're presenting on 21st of November, a fairly tight and well-crafted new 3-year plan, this would literally kind of drive a truck through it. I mean, I imagine that have to be a massive share issuance. That's my 2 questions.
Claudia Cordioli: Thank you for your questions, Michael. I'll take the first one and then Mario will add on the Bloomberg report. So you're right on your math on the surplus note and Farmers Exchanges surplus situation. So very strong capital position they got into. Now the choice around the quota share dimension and size is with exchanges. They had their quota share day with the reinsurers earlier last week. So the considerations are ongoing. It's absolutely their choice, what they plan to do. But as you can imagine, having such a high surplus ratio gives them optionality, and this is a good position to be. So we see in the next months.
Mario Greco: So Michael, I'm the experts on Bloomberg's thesis here. Bloomberg kept calling me last week claiming that they knew that we were launching -- we were about to launch an offer for Baloise. I told them we're not about to launch anything. We don't even know that Baloise is for sale. I think it's a speculation driven by the fact that there is an active investor in the capital of the company. Of course, we watch the Swiss market. And of course, we will watch it also in the future, but we're doing nothing at the moment. And as I said, I'm not aware. Now Bloomberg says that somebody is preparing an offer, and they said, okay, then it's not us. That's the only thing I can say. I have no idea who is preparing an offer for Baloise, but it's not Zurich.
Operator: Our next question comes from William Hawkins at KBW.
William Hawkins: Hello. Yes, 2 questions, please. Can you tell us a bit about your view about the Farmers combined ratio, the 93.5%. Is that good, bad or normal? I guess I had in my mind this time last year that maybe 95% or something would be normal. It really does seem to have improved quite dramatically. And Mario, in previous quarters, you've been consistently warning us that maybe it will get worse, but it's not really. So yes, could you talk us a little bit about what you think is normal underwriting performance for Farmers on a like-for-like basis, please? And then secondly, yes, could you also -- sorry, just slightly back on Michael Huttner's question. Could you help me understand a little bit more about the capital generation within the Farmers Exchanges? I may have completely misunderstood the back of envelope maths, but 3 points of increase in surplus in a quarter does feel like a really big increase. And I don't know if I just misunderstood the sensitivities or if we are saying that all things equal, that's 12 points of increase per year, which to me just feels wrong. So can you help me understand a little bit about how the surplus ratio increased so much in just 1 quarter?
Mario Greco: William, I don't know how you're making this calculation. I mean the increase is clearly not that big by quarter. And the increase in capital of the exchanges is simply driven by the combined ratio. Now your question is 93%, what is it? Well, first of all, it's very good. I'm also very pleased to see that currently, their home book is performing very well and the impact of the catastrophes on their home book is marginal, which is a big, big proof of underwriting success in the way they reshaped the book and the exposure to catastrophe, especially for home. They don't plan to run the book at 93%, they don't want that. But it was necessary to clean it and to have a good start. All the plans we make have the combined ratio of Farmers at 99%. So there is space for growth and there is space for expansion, which is what they are planning for next year on the PIF. I think on the capital generation, we can -- I mean, if you call back after Jon, he will explain step by step, but it's just the impact of the combined ratio on the exchange's capital.
Claudia Cordioli: I think one observation there, Michael, is that before the end of the second quarter, there was -- the exchanges paid back a surplus note. So it makes like-for-like, the comparison, the generation of surplus probably higher because of that.
Operator: Our next question comes from Dominic O'Mahony with BNP Paribas.
Dominic O''mahony: Can you hear me now?
Mario Greco: Yes.
Dominic O''mahony: My questions have mainly been answered, but I have one remaining, which is just on the Life new business production. The margin clearly improved, the new business margin improved quite a lot, and you explained in the release the mix shift towards the higher-margin products, which is very welcome. I just wanted to ask whether you think that the current level, I think 3Q discrete is just under 7%, whether that's a sort of a sustainable level or whether there's some sort of normalization from here?
Claudia Cordioli: Dominic, I believe that is on the high side. So one of the big drivers of this year's increase has been Latin America and the Santander book, particularly in that respect. They had a fantastic year. Whether that's sustainable and that should be replicated or assumed to be replicated every year, probably difficult. So you will hear more at the Investor Day by Claudio Chiesa, -- he's the CEO of Zurich Santander himself. So he will tell you about all the actions that the Santander team has put in place to make sure that they're using a wider ecosystem. They are innovating the products. They're using open channels more than they've been doing in the past. So some of it is sustainable, but I would not assume that to be the run rate going forward.
Operator: We continue with a question of Vinit Malhotra, Mediobanca.
Vinit Malhotra: So I'll stick to one question really. The commentary -- maybe it's 2, let's see. The commentary is that the margins in commercial continue to be favorable. And I'm just wondering how are you seeing inflation? And I mean, obviously, maybe currently, inflation might be a bit low, but there's some chat about inflation being higher in the near future as well in the U.S. So I'm just wondering if you have any views on that when you're talking about this favorable commercial book. And then second question is on the similar lines saying the commentary in the performance in retail is improving. Again, we are hearing more that the motor is obviously being priced for everywhere in Europe, in Germany as well, but the inflation there is a bit tricky or continues to be tricky. So any feedback, color, commentary would be much appreciated.
Claudia Cordioli: Thank you, Vinit. So let me start with the commercial book. It's difficult to make a statement that is applicable across the board in commercial. But going a bit more into the individual lines of business, what we are observing, and this is the case mostly in the U.S., we continue to see very strong rate increases in commercial auto. Now this is needed to address the underlying loss trends that everyone has been experiencing. But what we are seeing coming through is a rate improvement, and that applies to October as well, by the way, that's above the loss trends. What the team is doing beyond the rate actions is also taking a look at the portfolio, pruning when necessary, looking at the limits again. So there's a very consistent set of actions that the U.S. team is putting in place. But in terms of rate, we are happy about what we are seeing there. On the liability side as well, rates are responding to underlying loss trends. Also there is worth distinguishing between what we are seeing on primary access, professional indemnity. The one that's slowing down or weaker is professional indemnity, which is not a big line of business for us, but we are seeing good rate improvement on the access side, which is important. The comment on moderating in the press release was mostly related to property. So -- as you know, property has been seeing a consistent increase of rates across the quarters over the last couple of years. Now that trend has been moderating a bit in the second quarter and in the third quarter. Now we'll see in the aftermath of the hurricanes, whether this continues to be the case or there might be a slight change in the trend. Much of it will also depend on the reinsurance market and the renewal discussions that are starting or are ongoing as we speak. So property might see some picking up again in the next couple of months. On retail, your question, so retail is improving. We've been pushing a lot, rates and underwriting actions in the markets that you mentioned, particularly on the motor side. If I look at the attritional loss ratio in the third quarter, I see improvements compared to the first half of the year and compared to 2023. So it's the right trajectory. But as I mentioned in my remarks before, we still need to see more action on the rate side in motor. So Germany, first and foremost, in Switzerland as well, but on a more targeted basis, given that a lot of actions were already taken by the team this year.
Operator: [Operator Instructions] Our next question comes from Andrew Crean with Autonomous.
Andrew Crean: Two questions. Firstly, you've brought your 3-year plan forward 1 year. Could you share with us what you're thinking as to why you did that? And secondly, nat cats in the fourth quarter, we're nearly halfway through the fourth quarter. I mean, setting aside Milton for a moment, how are they running otherwise relative to budget?
Claudia Cordioli: Yes. Great. So Andrew, on the first question, the reason why we are bringing forward the 3-year plan is that when the current plan has been defined and the targets have been defined, it was back in 2022 and the outlook we built the plan on, the assumptions, were significantly more pessimistic than what we've seen actually materializing in the last 2 years. If we think about the interest rate situation, if we think about the commercial cycle, the assumption in the plan was that interest rates will go down much more rapidly. The assumption was as well that the commercial cycle will turn into a weaker cycle much quicker. We haven't seen that materializing. So we believe that it makes sense for us to define new targets to look forward to a new 3-year plan to just make sure that we reflect the most current view of the business. In addition, as we mentioned previously, we see very attractive parts of the market where we want to grow, and you will be hearing more about that, by the way, by Sierra and Kristof Terryn directly in the Investor Day. So we want to be more open and explicit on what segments we like, what lines of business we like and where we see the opportunities for us to grow. So that's the rationale behind the anticipation of the plan. On the nat cat side, in Q4, so we've been mentioning that Milton is estimated below USD 200 million for us in Q4. We still have some budget left. So it doesn't exhaust our budget. Much will depend on how the next 6, 7 weeks will play out. So too early for us to tell. At the present time, we still have some budget left and depending on the remaining cat activity, we'll see how the year finishes.
Operator: Ladies and gentlemen, this was our last question. I hand over back to Mr. Jon Hocking for any closing remarks.
Jonathan Hocking: Thank you very much for your questions. If there are any follow-ups, then the IR team will be available shortly. Thank you.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing Chorus Call and thank you for participating in the conference. You may now disconnect your lines. Goodbye.